Operator: Good morning, ladies and gentlemen. Today is Thursday, March 17, and welcome to the Butler National Corporation Third Quarter Fiscal 2022 Financial Results Conference Call. [Operator Instructions]
 Your call leader for today's call are David Drewitz, Creative Options Communications; Clark Stewart, President and CEO; and Craig Stewart, President of Aerospace Group.
 I would now like to turn the call over to David Drewitz. Mr. Drewitz, you may begin. 
David Drewitz: Appreciate that. Thank you, and good morning to everyone. Before Mr. Stewart begins, I would like to draw your attention to, except for historical information contained herein, the statements in this conference call are forward-looking and made pursuant to the safe harbor's provisions as outlined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks and uncertainties, which may cause Butler National's actual results and future periods to differ materially from forecasted results. Those risks include, among other things, the loss of market share through competition or otherwise; the introduction of competing technologies by other companies; new governmental safety, health and environmental regulations, which could require Butler to make significant capital expenditures. 
 The forward-looking statements included in this conference call are only made of the date of this call, and Butler National undertakes no obligation to publicly update such forward-looking statements to reflect subsequent events or circumstances. Important factors that could cause actual results to differ materially from the expectations reflected in the forward-looking statements include, but are not limited to, factors described under the caption Risk Factors in the company's annual report on the Form 10-K filed with the Securities and Exchange Commission. 
 All right. With that statement concluded, I'm going to turn the call over to Mr. Clark Stewart. Mr. Stewart? 
Clark D. Stewart: Thank you, Mr. Drewitz. We appreciate your -- everyone's time to listen to us and discuss the business of Butler National in our last 9 months and the quarter. We've had a great quarter and a great 9 months. Our income during the quarter is up 24%. The income of $2.7 million or $0.04 a share versus $0.01 a share last year. The 9 months, we're sitting at a revenue of $55 million versus $43 million income at $8.7 million versus $809,000. So we have $0.12 a share versus $0.01 a share last year for the 9 months. 
 Our backlog is strong at about $18.5 million, and that's down a little from the previous -- from July and from October. But we do have some prospects, and we expect the backlog to continue to hold at that level or maybe grow a little bit. 
 Our staffing is always a challenge as we talk about each time, and nothing really has changed there. We still need good people and more important get good people, and we seem to be holding on to them. 
 The casino business is good. 18% up on February this year versus February last year. And what's going on in the casino business is a good strong market in Western Kansas in our market area. February number of visitors down 8%, 9%. Our spend per visitor -- spend per visit is up about 29%. So we have fewer people spending more money. And we continue our work with the Kansas legislature to maintain our position in the gaming market and of course, everyone knows that we're in the airplane business in the legislature, and they don't give us much trouble with that. 
 So I would call your attention to the risk factors and I would tell you that we're all optimistic here that the year is going to come out very well, and our future looks good.
 And Mr. Drewitz, that's all of my comments. 
David Drewitz: All right. Let's turn it over to question and answers for anybody out there. 
Operator: [Operator Instructions] We do have a question from [ James Base ] from [ Butler ]. 
Unknown Attendee: I just wanted to know, I've been with you guys for 12 years, and I got in at $0.15 a share, $0.88 is pretty good. But any prospects on the stock going higher, more volume? 
Craig D. Stewart: James, this is Craig Stewart. Appreciate you being with us. That's  something we were just discussing the other day of how we can try to generate more interest in the company because our feeling is that if we got more interest with and more volume, it may have push the stock price a little bit higher. So that is something that we're working on. It's just a -- it's a tough thing when you're below $1. You can't -- it's tough to get brokers to -- they can't push it, they've got regulations and rules. So we're -- our real -- our primary focus is on continuing to generate the good numbers like you're seeing, and hopefully, we can push this thing to a level where we can get a little bit more attention. But it is something that we're looking at and it's a focus of the management team. 
Unknown Attendee: Yes. It seems like everybody should be jumping on with a stock that's $0.80, and it's got a $0.12 earnings per share. 
Craig D. Stewart: And hopefully higher by the time we get to the end of the year, right? 
Unknown Attendee: Well, yes. 
Craig D. Stewart: I mean it's -- the trailing 12 months is probably -- I don't know what fourth quarter was last year, but you're probably $0.14, $0.15 for the trailing 12 months. So it's -- we're excited about it. We'd like to see more people get excited about it, and it's a matter of figuring out how to get the story out there to the right people so that we can get the interest in the volume. 
Clark D. Stewart: We believe we ought to trade at least 10x, but that's a wish, not a fact. So that would help us out. We aren't trading at 10x. 
Operator: And our next question comes from [ David Waters ]. David, are you there?  Is your phone on mute? 
Unknown Attendee: Can you hear me now? 
Operator: Yes, we can hear you now, David. Go ahead. 
Unknown Attendee: Okay. Great. Sorry about that. Yes. So congratulations on achieving some of your major objectives this year, purchasing the casino and rolling up the minority interest that's been -- new company has been simplified. We appreciate that as investors. Just curious though about your priorities for the cash. I mean the company has a very healthy amount of cash on the balance sheet. And I think investors that appreciate some more clarity about your plans for the use of that. It seems like you can more than fund your development efforts in aerospace and keep a rainy day's fund, but maybe would consider sharing some of that with shareholders? Or just give us an idea what the plans are? 
Clark D. Stewart: I guess I would tell you that we've been discussing the possibility of some acquisitions that match up with where we are, and we've actually had some activity in that area, and so we're looking to do that and maybe we can add some more to the $0.15 a share by doing that. And so -- that's what we're looking at right now. Our cash is down about $7.5 million from where it was at the last time we reported on it. So that's, of course, used to buy out the minority interest in some of that other items that we needed for expansion. 
 But we are looking at prospective purchases, and I think that would add to the size and the momentum and the support of the company, and we probably pick up some new shareholders and maybe pick up some price. So that's kind of the plan. We haven't published anything more than what I've said to you today, so -- but we are actively doing that. 
Unknown Attendee: Okay. I appreciate the info there. Only other question I had was about the numbers of the casino. I mean obviously, they've been just incredible lately, I mean, far surpassing anything from pre-COVID times. Do you -- is there any concern on your end that inflation and the price of gas will have an impact on the consumers at the casino? Or have you not seen that yet? 
Clark D. Stewart: We haven't seen it yet. We don't know. Of course, as you know, we basically have a market area that's almost 200, 300 miles away on a lot of the market. So we're talking about buying some gas. So that could be -- that could be a factor. We haven't seen it, and we haven't had any discussion of it as far as among our patrons. So I think the higher spend indicates that they want to get they want to get out and participate in society and so they're coming to the casino to do that. 
 But as far as the economic impact of the gas price, I don't see that as that great actually. Everybody out there is used to driving 50 miles for the kids baseball game. So that's -- I mean, that's back 50 to 80 miles is nothing out of the ordinary for Little League Baseball. 
Craig D. Stewart: It is a concern, though, if we continue to see the type of inflation that we're seeing right now. It could be something that comes into play as this is normally one of the busier times of the year out of casino. As we get in towards the summer, it could it could have an impact as we get to the slower times that people may choose to not come as many times or as frequently or spend quite as the same amount of money that they're doing right now. So it's something on our radar and it is a concern, but hopefully, it doesn't affect us too bad. 
Operator: Our next question comes from [ Keith Vickers ]. 
Unknown Shareholder: Can you hear me? 
Craig D. Stewart: Yes. 
Unknown Shareholder: Okay, very good. I've been an investor in BUKS -- Butler for about 30 years now. I actually bought some at $4 a share. I bought some -- a lot cheaper sense, but I appreciate your good quarter and your good first 9 months, things are looking good. I too am frustrated with the fact that the price is not reflecting those earnings at this point. Understand the issue with regard to the stock not being attractive or the limitations, I should say, of when you're less than $1. Any thoughts to a reverse split? I know we've discussed it before. Could you remind me of the pluses and minuses of a reverse split? 
Clark D. Stewart: Well, what happens with the -- yes, we talked about the reverse split a number of times over the last 20 years. We don't seem to all agree on how it ought to work. But the reverse split since -- basically, we're at $0.80 now that gives us about $0.20, $0.25, $0.30 to be steadily over $1. We think maybe we can do that without doing a reverse split at this point. We have another couple of good quarters we should be able to get enough interest to get it over $1. Once we get it over $1, the promotional efforts of the company change as far as the public market. 
 And Craig, you might want to address some of that, if you want, but that's really what we need to do is get it over $1. 
Craig D. Stewart: Yes. The risk of the reverse split is you'll see a lot of them. We've researched a number of companies that have done it. There's -- the risk is that you do a reverse split. The story is not strong enough and you just erode shareholder value because you end up about the same price you started with more shares. The times when that typically happens are more times when companies are in trouble. The ones where it's successful are the ones where they've got a really good story that's exciting with growth, and we need to get into that point where we've got more exciting news that will really catch people's attention. The numbers are great. 
 But having a story that's a longer-term growth story is something that companies that have been successful in doing reverse splits have had. And so I think it's something that's always on the table. I think we've got some shareholders that are in favor of it. We've got some shareholders that are against it. And it's just a matter of the timing and we've got to sell, but it's not something that's off the table. Ideally, we'd get to $1 and be able to get rid of some of the obstructions that we've got to getting more attention on the stock just kind of organically. 
Unknown Shareholder: One more question if I could -- might. I'm just curious, I look at the SEC filings from time to time. And I see the -- when people go over 5%, about how many -- or in fact, how many investors in the company are over 5% of the total shares... 
Craig D. Stewart: We have 2 that are noninsiders, to my understanding. 
Unknown Shareholder: Okay. And I know who those are now. So okay. 
Operator: [Operator Instructions] And gentlemen, at this time, there appears to be no further questions. 
Clark D. Stewart: Very good. Thank you very much, everyone, for listening to us and being a participant in the Butler National Corporation. Thank you for doing that and putting your trust in us. We are working to improve the stock price as you hear from us, and we're also having a good year. We need to put a couple or 3 of these good quarters together, and then we'll be in a much stronger position. I thank you all for taking your time. We're out. 
Operator: This concludes today's conference call. Thank you for attending.